Operator: Greetings. And welcome to the Electromed, Inc. Fourth Quarter Fiscal 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Kalle Ahl of The Equity Group. Thank you, Mr. Ahl. You may begin.
Kalle Ahl: Thank you, Diego. And good afternoon, everyone. Electromed's fourth quarter fiscal 2021 financial results were released today after the market closed. A copy of the earnings release can be found in the Investor Relations section of the company's website at www.smartvest.com. As a reminder, some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place undue reliance on these forward-looking statements, and the company does not undertake any obligation to update or revise forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the company's SEC filings for further guidance on this matter. Joining us from Electromed this afternoon are Kathleen Skarvan, President and Chief Executive Officer, and Mike MacCourt, Chief Financial Officer. Kathleen will begin with some opening remarks, after which Mike will present a summary of the company's financial results. Then we will open the call for questions. Now, it's my pleasure to turn the call over to Kathleen.
Kathleen Skarvan: Thank you, Kelly. Good afternoon, everyone. And thank you for joining us. On today's call, I will recap our key accomplishments during fiscal 2021, introduce our long range capital allocation and strategic growth plan, and review the primary reasons we remain highly optimistic about the non-cystic fibrosis bronchiectasis market and our ability to create enhanced and sustainable value for shareholders over the long term.  Our fiscal 2021 financial results for both the full year and quarter four were exceptional, with double-digit revenue growth and strong cash flows. Among the past year's successes, we maintain profitability, while making investments in strategic initiatives to position Electromed for enhanced future growth, increased investment in new commercial team headcount, including marketing, and clinical field support to better support our existing and new direct field sales representatives.  During the past year, we further deployed funds into direct to consumer and digital marketing programs, which are providing us with a new stream of leads, referrals and revenue. Increased spending in research and development to advance our next generation product.  For patients, we believe this device will be easier to use, lighter, and maintain our differentiated comfort inherent in our current SQL SmartVest therapy. For Electromed, this device is expected to have a lower cost structure, given the composition of raw materials that will be used in its manufacturing.  We expect to launch the next generation product during the first half of fiscal 2023, by which point our R&D expenses should return to normalized levels in the range of 2% to 3% of sales.  We also implemented a new revenue cycle management system that will improve operational efficiencies and provide enhanced business analytics. We made investments in strategic market analytics and commercial planning, which provided valuable information that has helped strengthen our growth strategies for the sales team expansion, clinical study opportunities and identifying new market development strategies.  Finally, we continue to invest in clinical studies, including our prospective multicenter bronchiectasis outcome study, utilizing SmartVest that is now approximately 25% enrolled after a several month pause during the pandemic. We are also enrolling a post surveillance study with chronic obstructive pulmonary disease and bronchiectasis patients prescribed SmartVest, utilizing quality of life questionnaires to measure outcomes prior to therapy and at two intervals following initiation of the therapy. We are planning to launch additional studies later in fiscal 2022. We are confident that these strategic investments will drive profitable revenue growth and enhance shareholder value creation.  In addition to strategic investments, our new repurchase program underscores our go-forward confidence. During the quarter, we bought back approximately $1.1 million of our common stock under our new $3 million share repurchase program.  Turning to our financial highlights, in the fourth quarter, we achieved year-over-year revenue growth of 37.7%, driven by 33.6% increase in homecare revenue and 90.6% increase in institutional revenue, reflecting improved clinic and hospital access for our sales reps, particularly strong lead generation among existing prescribers of SmartVest and tremendous salesforce productivity. In fact, annualized homecare revenue per representative was approximately $884,000 for the full year and $906,000 for the fourth quarter, both exceeding our target range of $750,000 to $850,000. Our sales team is benefiting from improved onboarding, training, target account planning, sales leadership coaching and accountability measures. We're making meaningful progress in executing our strategy of adding new prescribing physicians to our base, while going deeper among existing prescribers.  Also during the quarter, we generated approximately $765,000 in operating cash flow, while using approximately $1.1 million of cash to repurchase shares under our recently authorized share repurchase program.  For the full year, we achieved year-over-year revenue growth of 10.1%, driven by 12.5% increase in home care revenue, delivered continued profitability, while investing in key strategic initiatives and generated approximately $3.1 million in operating cash flow.  A robust cash flow generation and strong year-end balance sheet included $11.9 million of cash and no debt position us well to execute on our long range capital allocation and strategic growth plan. Key priorities for allocation of our capital include continued reinvestment in Electromed's market expansion, technology differentiation, sales force footprint and continued repurchase of Electromed shares on an opportunistic basis.  Regarding investment in Electromed's market expansion and product differentiation, our long range strategic growth plan for fiscal 2022 and beyond encompasses the following key pillars, expanding our sales force in sales territories, investing in prescriber targeting tools, growing our direct to consumer and digital marketing programs as well as Electromed's brand awareness, driving operational excellence and system enhancements, expanding the body of clinical evidence to increase the adoption of SmartVest and developing innovative device features that appeal to a broader range of patients. Additionally, we will continue to explore and execute initiatives to further develop the HFCWO market, so that more physicians treat bronchiectasis with our proven therapy.  Related to sales force and territory expansion, we are targeting 43 total direct sales reps by early October, up from 37 as of June 30, 2021. Indeed, we added three new direct sales representatives, three of the four extend expansion territories, and one new regional manager in July 2021. Given the success of our improved recruiting profile, revamped onboarding and training procedures, strong sales force productivity and lower turnover, we are confident that expanding our sales force will drive value.  Our planned sales team expansion will incorporate metrics to measure and manage new sales reps to maximize our return on investment. These include annualized homecare revenue contribution margin and number of competitive account wins. Typically, it takes the new sales representative six months to reach full productivity in established territories and 9 to 18 months in expansion territories. Therefore, a blended target productivity range of $750,000 to $850,000 of homecare revenue per sales rep continues to be, in our view, appropriate in the near term as we grow the team to account for the time to ramp up to full productivity during onboarding. We will provide additional information on future sales team expansions with successful execution of these expansion territories.  We are investing in targeting tools to identify geographical areas where high percentages of physicians are diagnosing bronchiectasis and/or prescribing HFCWO devices. Based on that initial analysis, we have identified attractive opportunities to expand into new territories in our Western, Northeastern and Southeastern regions. We have 43 existing territories and are evaluating expanding into additional new territories again later in fiscal 2022. We are closely monitoring sales force productivity and increase headcount accordingly as we expand to ensure profitable growth By raising awareness of bronchiectasis, educating prospective patients and caregivers, and referring them to pulmonologists with a focus on bronchiectasis care, we intend to continue driving meaningful homecare revenue growth through direct to consumer marketing. We believe direct to consumer marketing will provide an efficient and effective approach to reach more patients that could benefit from HFCWO technology.  In the category of driving operational excellence and making system enhancements, we are planning for an ERP software implementation in fiscal 2022 designed to create more efficient and scalable operational processes, while enhancing the quality of business analytics. We also intend to institute a premier customer service and internal account management model that is scalable and that provides an exceptional experience to patients, providers and internal customers.  Through this model, we believe we can improve the time to convert an approval to an approved referral. We believe our organic growth strategy focused on unpenetrated bronchiectasis market, our differentiated therapy SmartVest, and world class service will support our long-term goal of double-digit revenue growth and improved operating margins. In addition to prioritizing the allocation of capital to our organic growth initiatives, we intend to periodically evaluate and opportunistically pursue share repurchase on an ongoing basis.  On this note, in the fourth quarter of fiscal 2021, we established the new $3 million share repurchase program, under which we repurchased approximately 1.1 million of common stock, demonstrating our confidence in Electromed's meaningful upside potential and our ability to capture the significant growing non-cystic fibrosis bronchiectasis market opportunity. We believe approximately 630,000 people with bronchiectasis diagnosis could benefit from HFCWO therapy. Yet only an estimated 77,000 patients in the Medicare population are currently being treated with a device like SmartVest.  When it comes to customer support, clinician support, we believe electromatic is second to none. We have a multi-year track record of double-digit organic revenue growth, high gross margins in the 70% range, robust operating cash flow, consistent profitability and a strong balance sheet, all testament to our talented team, our leading product and the attractive HFCWO franchise we have built. Against this backdrop, we look forward to capitalizing on the significant opportunities provided by this growing market and generating enhanced long-term value to our shareholders.  I applaud the entire Electromed team for demonstrating resilience in the face of many challenges caused by the COVID-19 pandemic. In response to dampened face to face interaction industrywide among clinicians and patients, we accelerated our virtual sales efforts and generated awareness of the Centers for Medicare and Medicaid system waiver that improves patient access for SmartVest airway clearance devices to a non-commercial Medicare population by waiving certain requirements that burden the patient and physician with additional face to face visits and healthcare utilization.  As the years progressed and nationwide deployment of vaccines rolled out, we have observed an upward trend in physician office reopenings and greater clinician activity. Our team has executed a hybrid virtual and in-person sales approach to great success.  As you can see the results, our homecare referrals in both fiscal quarter four and fiscal 2021 exceeded pre-pandemic levels. Above all, throughout our efforts this year, we upheld measures to protect health, safety and wellbeing of our teammates, clinicians and patients. And we are incredibly proud of our team's work.  With that, I will turn it over to Mike for a more detailed discussion of our financial results.
Mike MacCourt : Thank you, Kathleen. And good afternoon, everyone. Our net revenue in the fourth quarter of fiscal 2021 increased 37.7% to $9.5 million from $6.9 million in the fourth quarter of fiscal 2020, driven primarily by higher homecare and institutional revenue.  Homecare revenue increased 33.6% to $8.5 million, primarily due to an increase in referrals and approvals, reflecting greater patient clinic visits and face to face access for sales representatives compared to the prior-year fiscal quarter, during which we experienced more substantial COVID-19 driven limitations.  At quarter end, our field sales employees totaled 46, of which 37 were direct sales, compared to 44 at the end of the fourth quarter of fiscal 2020, of which 37 were direct sales. Annualized homecare revenue in the fourth quarter was $906,000 per direct field sales rep, above our target productivity range of $750,000 to $850,000.  Institutional revenue increased 90.6% to $520,000, primarily due to an increase in the volume of devices and garments sold as hospitals return to more normal purchasing activity.  Distributor revenue totaled $130,000 during the fourth quarter of fiscal 2021 compared to $14,000 in the comparable prior-year period.  International revenue, which is not a strategic growth area for Electromed, totaled approximately $361,000 during the fourth quarter fiscal 2021 compared to $262,000 in the prior-year period.  Quarter-to-quarter sales variability can be expected due to the nature of our business and potential fluctuations associated with the impact of the pandemic. As Kathleen mentioned, however, we're very encouraged by the fact that homecare referrals for the full year and fourth quarter fiscal 2021 exceeded pre pandemic levels.  Gross profit increased 24% to $6.9 million or 73.2% of net revenue in Q4 of fiscal year 2021 from $5.6 million or 81.3% of net revenue in Q4 of fiscal 2020. The increase in gross profit dollars resulted primarily from the increase in home care revenue. The decrease in gross profit as a percentage of net revenue was driven by higher warranty costs related to the inclusion of new components in the warranty reserve, costs associated with the discontinuation of our SV2100 device in the United States, a lower mix of home care revenue as compared to the prior-year period, and some limited product input cost increases. We expect that our longer-term gross margins will be in the mid to high 70% range. Selling, general and administrative expenses in the fourth quarter fiscal 2021 increased year-over-year by $1.2 million to $6 million. The increase in SG&A spending was primarily due to increased investments in sales and marketing headcount, higher compensation costs related to stronger revenue performance, and increased direct to consumer marketing. As a percentage of revenue, SG&A expenses were 62.9% in Q4 of fiscal year 2021 compared to 69.7% in the same period of the prior year.  Research and development expenses totaled $326,000 in the fourth quarter of fiscal 2021 or 3.4% of revenue, reflecting our continued investment in our next generation device, at a rate consistent with past recent quarters.  Operating income totaled $0.7 million compared to $1.3 million in the fourth quarter of fiscal 2020. The prior-year period included $0.9 million of government stimulus from the Provider Relief Fund established under the CARES Act, which was intended to offset losses in revenue and expenses that Medicare fee for service providers incurred due to the impact of COVID-19. The decline in operating income for the fourth quarter of fiscal 2021 was driven primarily by increased strategic investments in SG&A, partially offset by higher gross margin dollars resulting from the stronger homecare revenue performance. Net income before income tax expense totaled $0.6 million in the fourth quarter of fiscal 2021 compared to $1.3 million in the prior year.  In the quarter, income tax expense was $250,000 compared to an income tax benefit of $9,000 in the same period of the prior year. The prior-year period included a discrete tax benefit of $343,000 that was recognized as a result of the exercise of outstanding stock options.  Our net income totaled $399,000 or $0.04 per diluted share in the fourth quarter fiscal 2021 compared to $1.3 million or $0.15 per diluted share in the prior-year period.  Briefly summarizing our results for the fiscal year ended June 30, 2021. Revenue grew 10.1% to $35.8 million from $32.5 million in fiscal 2020, driven by 12.5% increase in home care revenue and the 30.9% increase in distributor revenue, which more than offset a 22.6% decrease in institutional revenue and an 8.4% decline in international revenue.  Gross margins were 76.4% compared to 77.6% in the prior fiscal year, while net income was approximately $2.4 million or $0.27 per diluted share compared to $4.2 million or $0.47 per diluted share in fiscal 2020.  Now moving to the balance sheet and operating cash flow. Our balance sheet as of June 30, 2021 included cash of $11.9 million, accounts receivable of $17 million, no debt, working capital of $27.1 million and shareholders' equity of $32.4 million. Operating cash flow in the fourth quarter of fiscal 2021 totaled $765,000 compared to $1.3 million in Q4 fiscal year 2020.  Our cash balance increased $1.4 million during fiscal year 2021, benefiting from $3.1 million in operating cash flow and a $1.0 million reduction in our inventory balance as we reduced excess inventory intentionally built during the COVID-19 pandemic, partially offset by a $3.4 million net increase in accounts receivable and contract assets.  The increase in accounts receivable was primarily due to an increase in the Medicare portion of our homecare business, which has a 13-month payment cycle. The Medicare portion of a homecare is a high quality accounts receivable and we expect this revenue to convert to future cash flow at similar ratios as prior period.  This concludes our prepared remarks. Operator, please start the Q&A portion of the call. 
Operator: [Operator Instructions]. Our first question comes from Kyle Bauser with Colliers Securities.
Kyle Bauser: Maybe I'll start on the SG&A line item. So it looks like you finished the quarter with 37 direct reps, flat with last year, but 43 is the goal. I know it's a tough labor market out there, but just kind of wondering what's been the gating factor to bring on new reps? And do you have any leads on the incremental six that you're hoping to bring on by October?
Kathleen Skarvan: You're absolutely right. We're targeting 43 expansion territories, and those have already been put in place. And in fact, three of those four territories were filled during July, and that fourth individual has already started. And then we did add a regional manager. So, now we have six regions in the country that will help us to manage that expansion.  We did experience turnover, which we believed was normal in the fourth quarter. You can see that, overall, our FTEs were up around 7% for the year. And it just happened that a couple of those reps left during the fourth quarter. And so, we do have five openings right now. One of those, as I said, was due to turnover here in the fourth quarter. Our recruiting efforts are going well. We only opened those reps in mid-July. And so, we're progressing. Usually, that can take anywhere from six weeks or so to get those people recruited, interviewed and on board with the notices that they have to give. And so, that's why we expect by the end of September, early October to be in that fully staffed 43 reps.
Kyle Bauser: I know part of the new initiative is to continue to grow top line sales and take market share and grow adoption within the market in general. So, with the number of direct reps flat with a year ago and SG&A up about 20%, I'm just kind of thinking about profitability and where we might find some levers in the business for margin expansion. And perhaps, the new goal is just to grow the top line and to command a growth multiple. Just kind of curious how we should think about the priority, whether it's top line growth or profitability.
Kathleen Skarvan: Definitely, we consider this to be that opportunity to continue using the initiatives we've been putting in place and will this year for top line growth. We will remain profitable. And our expectations on profitability will be likely, from a margin percentage, similar to what you've seen this past year. Although, through operational excellence, internally, we have initiatives going on that we believe can provide improvement that will impact our revenue as well as efficiencies in the business that will help offset some of those additional costs in the sales and marketing area. We have opportunity, as an example, to improve our conversion of referrals to approvals, and that that can help from an operational efficiencies. So, those as well as our revenue cycle management will help with that.  Mike, you may have some additional comments on that.
Mike MacCourt: I think that's the right way I would think about it going forward. I think to just your reference on the 20% comment, Kyle, there's a couple big changes from where we were at the end of the year last year with some of the COVID-related impacts. We had a furlough going on at the end of last year. Our sales T&Es had basically come to zero. Commissions were much lower. Management bonus was much lower. There was a lot of different reasons that we were – had such a big increase year-over-year. That was a bit abnormally lower. But to your point, we continue to invest in making strategic investments during the year. Our investment in Q4 of this year was basically flat or just slightly down, even though what we had in Q3. And as Kathleen said, we'll be smart about it going forward. We'll be making strategic investments, but still maintaining a certain level of profitability as well.
Kathleen Skarvan: But it's another investment year for us and we believe that's important, so that we can realize that market share growth, but also the sales expansion. And sales expansion is going to require investment in clinical studies as an example.
Kyle Bauser: That makes a lot of sense. You certainly have the capital to be able to do that as well. Just a couple more here. So, I know you plan on growing faster than the homecare HFCWO market. How fast is the market growing? And then, how are you winning share from competitors? Is it customer service, the benefits of SmartVest that you can highlight, any color here would be great?
Kathleen Skarvan: How fast is the market growing? We know from studies conducted and published, I think in the 2014/2015 range, that the bronchiectasis claims for Medicare patients were growing anywhere from 8% to 9% annually. That's bronchiectasis diagnosis claims. When it comes to HFCWO growth, it's a bit challenging to understand that. It could be – we just don't have a good number on that. And so, often, we use the bronchiectasis patients as a default in that 8% to 9%. But it's more challenging to get the HFCWO year-over-year claims on an annual basis.  As far as how we're differentiating in the market, we differentiate in in two ways. It starts with our device. And our device is engineered for greater ability for a patient to take deep breaths when they're using their device and, therefore, relates to feeling a more comfortable therapy. And we are able to prove that in an engineered study that we've published a few years ago. And our sales group takes our device out and they have physicians try it on and feel the difference. And we have many testimonials from patients sharing that same information.  We also want to continue to differentiate with our next generation, making it as simple to use, easy to use and as light as possible since our patients want portability, they want to be able to take it on trips. And that's exactly what we're emphasizing on our next generation product also.  And then, the second way is really around service. Our clinicians want us to be an extension of their office, they want to trust that when they write a referral to us that we're going to treat that patient just as they would want that patient to be treated, and that we're responsive and that we're able to help them with any questions, any concerns and be able to train them on their therapy, so that they will realize that quality of life improvement.  And I would add a third and that is that we do have the greatest number of published studies on bronchiectasis outcomes and those positive outcomes with our product. And we do certainly use those studies as a differentiator with those positions from a market share standpoint.
Kyle Bauser: Lastly, following the recent slate of highly qualified board nominees from Summers Value Partners, just wondering if you have any initial comments on that. And can you talk a little bit about the timing for voting and how that will play out over the next several weeks? 
Kathleen Skarvan: I can appreciate that you might ask that question, Kyle. So, members of the Electromed board and the management team have been engaged in an ongoing dialogue with Summers Value Partners. And the board will consider their director nominees with a focus always on serving the best interest of all Electromed shareholders. And we will be providing more information on the shareholder meeting in the future.
Operator: Our next question comes from James Terwilliger with Northland Securities.
James Terwilliger: First of all, congratulations on a nice quarter, especially on that top line revenue. That's a very nice robust number and lots of information in the call. So, at the beginning of the call, you talked about the next – if I got it correctly, and that's a big if on my part, you talked about the next generation product in the first half of 2023. So is that correct? And at the same time, I thought you said cost of goods sold would be lower or at least trending down? Do I have that correct? Could you expand on what you meant by the COGS sliding lower?
Kathleen Skarvan: You heard us correctly. We plan to introduce – of course, we have FDA clearance for this device. And with FDA clearance, then we plan to launch this device in the first half of our fiscal 2023. And, yes, based on the bill of materials in this new design, we have estimated that we will have a lower cost of goods sold.  Mike, do you want to add anything else to that? 
Mike MacCourt: I think it's an example of – it's not cost cutting. It's designing cost out in a way. And it's been, what, six, seven years – I wasn't around for it. Six, seven years since we launched our last product. So, there's a lot of opportunity to make this significantly better for patient and significantly more cost effective for us. And so, we're really excited about the potential of this for both margin as well as on the revenue side.
James Terwilliger: I've got three questions that derive from that. And good, that's fantastic that you can engineer and save costs in the healthcare system. So, one, you said this already has FDA approval? 
Kathleen Skarvan: No, we still will have to – sorry for any confusion. But I just wanted to say that we will launch it dependent on FDA clearance. 
James Terwilliger: And that's a 510(k), correct? 
Kathleen Skarvan: It is a 510(k), James. You are correct.
James Terwilliger: Last two questions on this are, you said – once you launch this device – and technically, did I get this correct? Normalized R&D after launch should kind of trend down to 2% to 3%. And is there any pricing trends when you launch this device that – is price stable? Does price increase slightly, decrease slightly? Anything on pricing? And then, on that R&D, normalized R&D is 2% to 3%, correct?
Mike MacCourt: Correct. 2% to 3% is what we'd expect our rate to be once we get the next gen device launched early next year. And in terms of pricing, James, it shouldn't have any impact, right? We're really subject to reimbursement codes and changes, and so it shouldn't have any substantial impact on that.
James Terwilliger: And reimbursements, sometimes, of course, you get a cut. So, on the balance sheet, and you talked about this, but this was one of my questions as soon as I saw the release. $17 million on the accounts receivable, but you said – did you give a percentage? How much of that is Medicare? Then you said Medicare has a 13 month payment cycle. So, is most of that Medicare? And of course, that's a high quality payer.
Mike MacCourt: Yeah, it is. I'd say over probably 60% or more of that is Medicare. I think what I was referring to there is that, if you look at the mix of our revenue over the last year compared to what it had been historically, more of that's coming from Medicare, less from like institutional, international business, and it just has a longer payment cycle for Medicare. But as you said, it's extremely high quality AR. And I think that will start to normalize a little bit. We'll still continue to see growth in that. Anytime you're growing in a business that has a longer payment cycle as we do, you're going to see some AR growth as our revenue continues to grow. But I don't think it will grow at the same rate as it did this year, just because I think our mix of Medicare will normalize a bit.
James Terwilliger: Absolutely. And you've got to grow. So, no, it's a good problem to have. I'd rather see that going up than down even though I understand the cash flow implications. My last question is, I've heard some things, some rumors and I don't want to go into them here. I don't know if you do either. So this is probably a tough one. In terms of what's happening with the competitive front, you've got some large competitors while you're a complete pure play with outstanding technology. Is there anything you can talk about what's happening out there from your competition?
Kathleen Skarvan: We always do take our competition very seriously. And we do understand that we're competing against large organizations with deep pockets. On the other hand, that can be an opportunity as well since we are focused only on HFCWO. It is where we put all of our investment, all of our service related enhancements, and all of our R&D as well. And so, I have not heard anything recently that has concerned me from a competitive standpoint. We do run into the competitors as you can imagine in our clinics and the hospital systems, but haven't heard anything right now that is concerning. And I believe with our growth initiatives and our balance sheet that we have, we're in a really great position to continue to take share and continue to go deeper into the clinics that we have. And with our clinical studies, I think there's an opportunity to expand this market.
James Terwilliger: What I heard was actually very positive for you. It was more of a distraction to your competition due to their size. Either way, keep up the good work. You're doing a good job growing the business. 
Operator: Thank you. And that concludes today's question-and-answer session. I'll turn it back to Kathleen Skarvan for closing remarks. Thank you. 
Kathleen Skarvan: Thank you all for participating on the call this afternoon. We will be participating in the Colliers Institutional Investor Virtual Conference on September 9 and will remain accessible for one on one calls. Please reach out to our investor relations firm, Equity Group, if you are interested in scheduling a follow-up call. We look forward to reporting back to you in November when we will release our first quarter fiscal 2022 financial results. Have a good evening and stay safe. 
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great day.